Operator: Good afternoon. My name is Sherry, and I will be your conference operator today. At this time, I would like to welcome everyone to Volta Inc.'s Second Quarter 2022 Earnings Conference Call and Webcast. All participants have been placed in a listen-only mode to provide any background noise. The conference is being recorded. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I will now turn the call over to Katherine Bailon, Volta's Head of Investor Relations. Catherine, please go ahead. 
Katherine Bailon: Good afternoon. Thank you for joining us on today's conference call to discuss Bolsa's second quarter financial results. This call is being broadcast over the web and can be accessed on the Investors section of our website at investors.thecharging.com. Presenting on today's call are Vince Cubbage, Interim CEO; Brandt Hastings, Chief Commercial Officer; and Stephen Pilatzke, Chief Accounting Officer. Also with us today is Drew Lipsher, Chief Development Officer; and Michelle Kley, Chief Legal Officer. We would like to remind you that during this conference call, management will be making forward-looking statements, including Statements regarding our expectations related to financial guidance, outlook for the sector and companies and our expected investment and growth initiatives. Please note these forward-looking statements are based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect the company's view only as of today, should not be relied upon as representative of views as of any subsequent date, and Bolsa undertakes no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect our financial results, please refer to the company's filings with the SEC including its quarterly report on Form 10-Q for the 3 months ended March 31, 2022, and its annual report on Form 10-K for the year ended December 31, 2021. In addition, during today's call, the company will discuss non-GAAP financial measures, which they believe are useful as the supplemental measures of Volta's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You will find additional disclosures regarding the non-GAAP financial measures discussed on today's call and vote's press release issued this afternoon and its filings with the SEC, each of which is posted on the vote on charging website. The webcast of this call will also be available on the Investor Relations section of the company website. With that, I will turn the call over to Vince Cubbage, our CEO. 
Vince Cubbage: Thanks, Catherine. Hello, everyone, and thank you for joining today. I'm very happy to be with you to report on our second quarter results. I'd like to start by opening with a few observations I've made during my time as interim CEO. It's clear that the world is waking up to the inevitability of EVs. Over the past 2 months, I've been immersed in meetings and interactions with all of Volta stakeholders. And across the board, site partners, media customers, drivers, policymakers, especially our employees, everyone who really knows this company sees that Volta is uniquely positioned to succeed. We have a different approach to this enormous opportunity. We're not just building a network of chargers. We're building a powerful dual energy and digital advertising platform. Voltas charging network combines a convenient, safe, accessible EV charging experience for our drivers with the only digital ad network of its kind, all powered by industry-leading intelligence. This enables Volta to scale revenue ahead of the EV adoption curve. Ulta grows by partnering with the largest commercial properties and national chains to build our EV charging network. Voltas MSAs, which are master service agreements with 7 of the 10 largest U.S. commercial property owners, allowing us to install our chargers on their properties under long-term agreements. Last quarter, Voltas signed 3 more MSA partners, further expanding our national footprint. Our differentiated model of building infrastructure in front of stores makes us the ideal partner for commercial and retail properties. This competitive advantage was proven in our second quarter results. We completed 372 new charging stalls, a 71% increase in installations over the first quarter this year and a 180% increase over the second quarter of last year. Our bolt-on network now totals over 2,900 stalls as of June 30, a 15% increase from the first quarter and a 48% increase from last year. One thing I would point out is we only count stalls that are completed and fully commissioned in our numbers. Our growing platform is achieving scale and creating greater opportunities for both our charging and media customers. In the second quarter, our charging network experienced significant growth in throughput totaling 4.8 gigawatt hours, a 26% increase over the first quarter and a 106% increase over the second quarter last year. We expect this growth to continue and to begin contributing revenue in the second half of this year. Golden's digital media network adds additional leverage to the platform as measured by the impact that an ad has on everyone who wants to buy one of our charges. The Bolt immediate network crossed a very important milestone this quarter, officially generating over 1 billion monthly impressions. Our high-value network is in demand and is demonstrated by our significant backlog. As of June 30, we had over 3,900 new stalls in our contracted backlog, including 88 stalls that are currently under construction, 1,341 stalls were site engineering or permitting work is underway and over 4,200 additional stalls under technical evaluation. These numbers are a direct result of our efficient and effective MSA strategy. To assist in our evaluation of sites, Volta has developed a proprietary software program predict EV, which enables us to prioritize our locations and optimize the value of our charging in digital media assets. Predicting these sites -- in markets the highest propensity for EV adoption and the best locations within those markets providing our drivers with safe and convenient charging right in front of brightly lit commercial properties. Our network is also delivering financially. During the second quarter, Voltas revenue was a record $15.3 million, an 83% increase over just last quarter and a 121% increase over the second quarter of 2021. This includes revenue from our predict media, network development and licensing of -- I'm sorry, predicting to third parties. Media sales contributed almost $4,000 per charger in this quarter alone. We are excited about this because as we turn on charging revenue, it will be completely incremental and further demonstrate the power of Voltas network. As we begin charging for electricity, we won't need a 200% or 300% margin on electricity just to make our model work. Our network is much, much more powerful than that. Ulta's business model puts us in an enviable position for interacting with policymakers. As an example, we can install chargers in disadvantaged communities and generate industry-leading revenue without overcharging for electricity. And we can offer communities important, highly visible public communications channels at absolutely no cost. We are all aware of the recent legislation and the multitude of existing financial grants, loans, incentives and support structures to facilitate the nationwide expansion of EV charging infrastructure. Policymakers who allocate those funds are working very hard to determine efficient, impactful ways to accomplish their goals. We believe we have a clear competitive advantage and a more viable short- and long-term business model, and we highlighted in our conversations with local, state and federal decision makers. Our recent win in Hoboken is a great example of this. Working with the mayor and town planners Volta recently agreed to install a network of DCFC ADLT chargers, placing a bolted charging station within a 5-minute walk of every resident and the entire downtown commercial district. This public-private partnership is an ideal example of how Volta enables communities to achieve their sustainability goals and provide the public with open access, convenient EV charging, further encouraging the transition to electric vehicles. In summary, Malta's dual platform model creates an ecosystem that goes beyond electricity to generate significant revenue and drive value for our media customers, site partners and our site partners tenants. And with that, I'd like to hand it over to Brandt to review our commercial operations.
Brandt Hastings: Thanks, Vince. Our commercial organization made tremendous progress in the second quarter on several key highlights that I'm pleased to share with you all today in greater detail. Before I do that, I'd like to address some of the current market conditions. Now we're thinking about Voltas revenue business. Jason Goldberg, Chief Commercial Strategy Officer at Publicis, a leading advertising agency holding company recently said it really well. I quote in tight economic times, advertisers tend to ship more of their budget down funnel -- so I'd like to elaborate on Jason's remarks. Down funnel translates into advertisers becoming more judicious in their marketing spend to ensure that the dollars they are investing in media translate into measurable business results. Volta's digital-first media model offers our advertisers and commercial partners, unique and measurable value, which sets us up better than most to protect against economic uncertainty. I'm going to take a minute to expand on that thought. The Volta Media Network is a robust digital media platform, our digitally native approach to managing advertising campaigns, including capabilities such as data-driven audience targeting, programmatic media buying, dynamic creative triggers, mobile retargeting and a suite of measurement analytics means brands rely on Volta for high-value branded campaigns and for down funnel sales-centric campaigns, which are critical to converting our advertising dollars into measurable sales. I'm going to highlight a few of these examples shortly. And these campaigns are not a nice to have, but a need to have for brands of all kinds and are often associated with larger, always-on budgets. As Vince mentioned, in addition to our sophisticated digital advertising capabilities, another large part of Volta's unique value is the physical location of our EV chargers and media screens. We strategically placed our infrastructure just steps away from the front doors of popular commercial locations. I'm happy to share that as of June 30, 2022, 77% of Volta screens are located within 500 feet of the front doors of businesses such as grocery stores and pharmacies. And this valuable placement that ensures Volta's large digital screens are seen by as many consumers as possible, maximizing Volta's ability to grow awareness for advertisers and the very last message these consumers see before finalizing their shopping list, enabling Volta to directly influence in-store sales. And as I just alluded to, we're working with a suite of industry-leading digital measurement companies to enable detailed and quick reporting on the metrics that marketers are prioritizing in today's economy. And this leads me to our media business, previously referred to as behavior and conference. Our media business has demonstrated solid repeat customers. In the last 6 quarters, 16 out of Voltas top 20 media customers have purchased advertising across multiple quarters and 7 of the top 20 media customers have bought in all 6 of those quarters. In the second quarter, 54% of Voltas media revenue was from repeat advertisers. And we've also made significant strides in the quarter that position us as an even more compelling must-buy for big brands and demonstrates the efficacy of the VoltaMedia network. We recently announced an important strategic relationship with Catalina, a leading shopper intelligence and omnichannel media provider, Catalina unlocks a new measurement capability for Volta campaigns in the form of incremental return on ad spend, which is a fundamental metric used in the world of advertising to both understand and benchmark media expenditure to measure efficacy. The ability to quickly report on this critical metric solidifies Volta as a digital-first, results-driven media network in the minds of advertisers, unlocking bigger and recurring advertising deals. Additionally, this collaboration makes BoltaMedia's inventory accessible to Catalina's sales team and their advertising clients, opening yet another revenue source for Volta. I'd like to highlight the results of one VoltaMedia campaign, which was jointly executed with Catalina and DollFresh Foods. Dole sought to drive incremental sales lift and grow its category share during the key selling season. eye-catching marketing showcasing multiple Dole products was deployed on Volta screens near the entrances of grocery stores. Catalina's measurement capabilities help document the campaign's efficacy. It delivered an 8% sales lift and an 8.5% increase in category share for gold. Pointing to another partner in the consumer packaged goods category, Coca-Cola in Volta Media completed a case study in partnership with Quotient, who is a leading digital media and promotions technology company to prove out return on ad spend, the 28-day study in Volt, measuring sales of Sprite, Seagrams and Fresca over the 2021 winter holidays. Purchase level data provided by AD Retail Media and attribution data provided by Quotient quantified the impact of the VoltaMedia network on Coca-Cola sales. The brands featured in the campaign saw $2.5 million in attributable sales and a return on ad spend, 56% higher than the average digital out-of-home food and beverage campaign. The study also indicated that Coca-Cola was successful in converting new customers. In the previous 12 months before engaging with VoltaStations, 8% of these consumers had not purchased these Coke products and 7% had not purchased the category. These case studies that demonstrate Volta's ability to directly influence consumer behavior and purchase decisions and deliver those tangible metrics to advertising partners. Our station's unique proximity to the point of sale ensures advertisement displayed across the bolt-on media network is some of the last messages that shoppers see before they walk through the store entrance and fill up their card. And this work demonstrates the measurable impact both the campaigns can have on the Coca-Cola Company, Dole and other consumer packaged pin brands. Now, I'd like to move on to important developments in our charging solutions business and the terrific progress we are making with our real estate and retail partners. We're adding new Cornerstone clients and increasing our footprint with our existing partners due to the work of our talented sales team and differentiated solutions-based business model. For example, we announced our relationship with Kroger, America's largest grocery retailer to bring a mix of DC Fast and Level 2 charging to Kroger customers nationwide. Volta recently launched its 16 Kroger locations in the Atlanta and Indianapolis areas and plans to expand to Columbus, Cincinnati, Louisville, Nashville, Michigan and Southern California. The collaboration will also enable Kroger Precision Marketing, Kroger's Retail Media Network to sell Volta’s media inventory to its clients, unlocking another source of revenue for Volta and highlighting the power of Volta's combined charging and media model to other retailers with advertising offerings. This is another example of where our charging a media model continues to resonate, and Volta is more than just charging. We are a solutions-based partner delivering unmatched value to our clients. And so in closing, I want to reiterate the unique value Volta brings to advertisers, commercial properties, retailers and municipalities that ultimately drives business growth. This value can be summarized by the strategic placement of our chargers and media screens near the front doors of businesses and our suite of industry-leading measurement capabilities that prove the revenue-generating power of Volta media campaigns to advertisers and the impact we can make on retailers' business goals. And with that, I'll pass it over to Stephen Pilatzke, Volta's Chief Accounting Officer. 
Stephen Pilatzke: Thanks, Brendan. Turning to our Q2 financial results. For the second quarter, we delivered above our outlook range for revenue with Q2 revenue growing 83% from our first quarter of 2022 and 121% year-over-year to $15.3 million. Q2 media revenue, which formerly was called behavior and commerce grew 83% sequentially and 73% year-over-year to $11.2 million. We ended the quarter with an installed base of 927 sites, adding 127 new sites in the quarter of Volta record. Volta's installed base installs was 2,920 on June 30, 2022, up 15% quarter-over-quarter and 48% year-over-year. The company installed an incremental 372 stalls during Q2. For the second quarter, we signed 187 new sites and 618 stalls. We exited the quarter with 1,468 sites and 3,942 stalls in our signed construction pipeline. During the second quarter, new brands to VoltaMedia's advertising platform included Michelin, Genesis, United Airlines, Lyft, Bank of America and Hewlett Packard. In addition, during Q2, we had campaigns with repeat customers, Kia, General Mills, Zoom, Jeep, Coca-Cola and Apple. Our gross margin, excluding station depreciation for the quarter was 36% as compared to 26% gross margin in Q2 of 2021. We continue to forecast a 25% to 30% gross margin for the full year. SG&A expenses, excluding stock-based compensation, were $37.6 million for the second quarter as compared to $16.1 million, also excluding stock-based compensation in the prior year period. The increase year-over-year was due principally to increasing headcount and related costs as well as public company compliance costs, including stock-based compensation and onetime expenses, was $43.9 million for the second quarter compared to $17.4 million in the prior year period. We have made improvements to our SG&A levels and continue to work to reduce our recurring SG&A spend. We have further work to do. Adjusted EBITDA was $33.4 million loss for the second quarter of 2022 as compared to a $15.1 million loss in the second quarter of 2021. Net loss was $37.4 million for the second quarter compared to a net loss of $20.6 million in the prior year period. The company had a cash and marketable securities balance of $105 million as of June 30, 2022. Volta's headcount during the second quarter was $421 -- our anticipation for full year 2022 CapEx is now $110 million to $130 million to install our 2022 stations. Weighted average shares outstanding for the second quarter were $167.2 million. Turning to our outlook for 2022. Based on current market conditions and input from our customers and team, we are reiterating our outlook for 2022 revenue to be in the range of $70 million to $80 million. As we have stated previously, the seasonality of our revenue is a function of the media industry spending trends, which tends to build throughout the calendar year with the first quarter being the lightest and the fourth quarter being the strongest. In addition, we are reiterating total incremental connected stalls in the range of 1,700 to 2,000. Finally, we are reiterating total incremental connected sites to be in the range of 650 to 750 sites. For the third quarter ending September 30, 2022, we are guiding for third quarter revenue to be in the range of $17 million to $18 million. And now, I will turn it back over to Vince for some closing comments. 
Vince Cubbage: Thanks, Stephen. Over the past several months, we have transformed our management team. We've elevated a number of really exceptional people as well as bringing in several new experienced leaders. Our team is taking important steps to improve our cost structure, finalize the development of new products and laying the groundwork for our expansion into Europe. There's certainly much more to do, but I'm really pleased with the progress we've made to date and attribute much of that to the team that's on this page, my 20 colleagues and all of our other exceptional Volta colleagues across the firm. And with that, I’d like to open the line to Q&A. 
Operator: Thank you. [Operator Instructions] Our first question is from Andres Sheppard with Cantor Fitzgerald.
Andres Sheppard: Congrats on the quarter, and -- could you give us an update on your financial needs -- just curious to see how things have progressed on that front. 
Vince Cubbage: Andre, this is Vince. Thank you for the question. It is a key question. If you ask me what question I would want to know is where I would lead off as well. There's 2 others that I'm sure is on everybody's mind. But as it relates to the debt, we said on our May call that we were starting a process. And shortly after saying that and starting that process, both our CFO and GC roughly left the company. And Drew and BraddI stepped in. We're very, very focused on this. The process is well underway. We're very optimistic that we will complete the capital raise on the time line that we have. We think that it will be well received in the market. Quite candidly, the people we're talking to, who are spending the time to dig into this business or seeing it in the way that we think is differentiating -- and as soon as we're able to tell you more on the specifics of what we come up with, we will. 
Andres Sheppard: Got it. Great, I appreciate that. And maybe as a follow-up, I'm curious, could we get your thoughts on -- in regards to the Infrastructure and Jobs Act. Obviously, there's a big catalyst coming in, in September with the state that's getting confirmed. And I'm just wondering how big of a beneficiary do you anticipate Volta to be? I know it's a little bit hard to make some assumptions now as it's still a bit fluid. But I'm just trying to ideally quantify how big of a benefit and potentially how much funding you might receive. So any color you could add there? 
Vince Cubbage: It's a great follow-up question to the capital raising because there is a tremendous amount of capital that has been earmarked for that purpose, the nationwide build-out. And that the allocation of that capital is still being determined, and it's being directed at both enabling long trips and kind of cross country, it's also being allocated towards really making sure that kind of nobody is left behind in terms of the ability to adopt EV. Our Hoboken project is a great example of how to do that in a community-based approach -- the numbers are in the billions. Every one of our competitors are as focused on it as we are. We have a policy team. We're very active on that front. And Drew Lipsher, who's also here with us today, has spent a great deal of time and predates me for certain on that. Drew, do you want to take a minute?
Drew Lipsher: Sure, happy to. Thanks. Nice to hear your voice again. I think as Ben said, with the IAA, the government is appropriate at $7.5 billion. As everyone now knows, $5 billion is allocated towards corridor charging, which is the common freight that's being used, $2.5 billion is being allocated towards urban and equity and community-based charging as well. We think, based on the feedback that we've gotten from meetings that we've had in Washington and the way that we're setting up, focusing on this, everyone knows the amount of money that's been allocated to the states -- the states have recently published. Many of them have published their plans now to take advantage of these Navy funds and how they're going to set up the grant and rebate types of programs. We're in the process of going through all of those as we speak, as I'm sure everyone is. And we believe that we're uniquely positioned to garner more than our fair share of the revenue that's going to be available, or I should say the dollars that are going to be available, which are going to be important, not just for Bolsa to be able to accelerate our deployments, but also for the industry to accelerate deployments and help meet the goals of the administration's $500,000 public charger target.
Andres Sheppard: Got it. That’s very thorough. If I could squeeze maybe one last one. Could you give us an update on how the partnership with Walgreens is progressing. I think in the past, you’ve mentioned that you expect some of those DC fast chargers to think potentially get installed later this year, although I think the expectation is heavier installations in 2023. But I’m just wondering, can you maybe give us an update on how that’s progressing and some things to look for there? 
Vince Cubbage: It's Brian. I'd love to jump in on that one. Thanks for the question. So I would start off by saying both Walgreens and Ulta remain extremely excited and committed to the rollout of building charging across 500 Walgreens stores nationally. In terms of an update, so we're in the early phases of PCFC deployment with Walgreens right now, and we're going through the diligence process of evaluating the requirements in each of their properties within that 500 store portfolio. So we've done the construction and design work, and we believe that we will have the first new sites live in the latter part of 2022. At the same time, I think that we're also mindful of some of the constraints associated that we're seeing with the availability of local utility services that are required to operate the install successfully. And so we're going to also factor that into the timing of the rollout as well. 
Andres Sheppard: Wonderful. Congrats, again. I'll pass it on. Thanks.
Operator: Our next question is from Pavel Molchanov with Raymond James.
Pavel Molchanov: First of all, can we get an update on your European initiative? What are deployments like in Germany, Switzerland, France, any other countries where you are entering? 
Vince Cubbage: That is a great question, Vince. I'll take it. Vincent in Europe has done a terrific job of setting us up. There are several pieces to that. We are very much in the organizational phase that has yielded some tremendous wins that we hope to be able to describe to you in the future. We won't finalize anything until we have both the business opportunity as well as the execution plan as well as the financing plan, all coupled because we're going to execute things. We're only going to announce and sign and announce things that we can execute. And we really very much look forward to telling you all about that in the future. But it's a tremendous opportunity. Europe is ahead of the U.S. in terms of this. And I'll tell you that the European conversations we're having are responding very, very well to the Volta product offering and the dual model where we can deploy profitably ahead of the EV adoption curve is something that they understand the power of very well. 
Pavel Molchanov: Understood. You mentioned a focus on getting into kind of underserved, underpenetrated lower-income communities. From a perspective of advertisers, how is that conversation different given that, by definition, lower income communities are of less – have less disposable income for prospective marketing campaigns. Does that make sense? 
Vince Cubbage: So there's two parts to that -- it's a great question. There's 2 components. It's really our dual model. I want to start by answering the EV infrastructure charging question and then the overlay of advertiser on top of it. The fact is for EV adoption to roll out the way everyone expects it to and the way policymakers want it to, it needs to be ubiquitous. It needs to be available in the coastal high-income communities. It needs to be available in the inner cities. It needs to be available everywhere. And there is a tremendous amount of capital and resources that are coming from the federal government that are focused on just that. And our business model is uniquely positioned to do that because our business model is we don't make all of our money on electrons or electricity. We can deploy our network ahead of actually -- look, most of our revenue to date is from things other than selling electrons. Now we're turning that feature on. In the second half of the year, you'll see charge for charging as we refer to it, start to contribute to our revenue going forward. But if we're being asked to deploy our network into a community that might be disadvantaged, we can do so without overcharging those constituents for electricity. And at the same time, we can make money for our stakeholders because of Brand's business. Brett, you just talk about the second half of that question. Yes. Thanks, Vince, and thanks for the question. So when I think about our advertising business, one of the great parts and strengths of our business is that we reach a wide range of audiences of consumers. And if you look at the breadth of advertising categories on our platform from consumer packaged goods to entertainment and others, we're not only a partner for companies who are marketing electric vehicles. We're also in the business of helping connect consumer package beats brands like Coca-Cola, Dole and others to the audiences that matter to them. And when you think about our network with a large portion sitting in front of places like Stop & Shops and Krogers and Walgreens and others. These are places that everybody shops, millions of Americans go to these types of stores every week to buy the products and that they need to fuel up their household and to really fall into the category of what I would deem an essential business. So it's that one-to-many model of our advertising, reaching every shopper walking into a store, our valuable consumers to many brands across our portfolio. But we can give you a really long answer to the question because we're excited about the opportunities of that. That's a competitive advantage of our business model. Look, advertisers want to reach consumers at all income levels. Our charging business is available in markets where those that are only making their money from electron sales or electricity sales are not going to -- they're not going to prioritize those markets. They're not going to move into a market where the average cost of today have an EV is $65,000, and they know that the population isn't buying those cars and they don't have the opportunity to charge them 4 or 5 or 6x the price of electricity. We can move into that same community, and we can build the infrastructure out ahead of EV adoption. It's the key to why this is the winning business model in EV charging. We can build it out. We can reach consumer packaged goods customers with profitable advertising. We can put charging in those communities, and we can do it in a way that the policymakers are trying to find the answer. We are the answer to how to bring EV charging to those types of communities. 
Pavel Molchanov: Okay. Lastly, can I just clarify gross margin guidance for the calendar year is what.
Stephen Pilatzke: 25% to 30%.
Pavel Molchanov: Okay. So given that it was negative in the first half of the year, the math implies something close to 50% in the second half?
Stephen Pilatzke: Well, we had 36% in the second quarter. And as we previously discussed, the seasonality of our advertising industry is comparable to others where it's low in the first quarter and ramp throughout the rest of the year. So for the full year, we continue to forecast 25% to 30%. 
Pavel Molchanov: Right on a cash basis?
Stephen Pilatzke: Yes, excluding depreciation, yes.
Operator: Our next question is from Matt Somerville with D.A. Davidson.
Matt Somerville: A couple of questions. First, Vince, to your comment around potential capital raising. Francois was -- when he was there, was very specific about seeking sources of, I believe you referred to as nondilutive capital. Is that still the case for the firm? And you mentioned that you had a time line. I was hoping you could add a little specificity around what that time line looks like? And then I have a follow-up. 
Vince Cubbage: Matt, great question. I would tell you it's something that we're working on real time and have been since I landed. And it was going on before me. The -- look, it's a transitional quarter for sure. We seek feedback and -- the feedback has been kind of -- you guys have a lot on your plate is certainly true. But this is an exceptional management team. The talent is rising to the top of this organization. We've made some tremendous hires. And the people that are interacting with us on the capital raising process are watching that. They're underwriting that, they're diligencing that and they're indicating to us that they're happy with what they're seeing. In order to be at that point where I could make that statement, you would have a sense of where we are in the process, and I'll leave it at that. In terms of Francois's comments on non-diluted, look, we all heard it. I think that some of us maybe were surprised as you were to hear that at the time because it was premature given where he was in that process. I think the market is what it is and the market clearing price for a capital raise will be what it is when we finish negotiate. But I would tell you this that we think that the opportunity ahead for this business is tremendous and that the capital availability, we're optimistic will be there. And with capital, this is the winning business model with capital and this business model and the tailwind from policy and all of the helping features along the way were very optimistic. 
Matt Somerville: I appreciate that color. The other thing that I want to make sure sort of gets addressed, if I did the math right, I apologize if I didn’t. But it’s implied that there’s a really big second half of new STAL additions. I feel like it’s almost double the $590 or so you did again, kind of back in the envelope in the first half of the year, I feel like we had the same setup a year ago coming out of your second quarter and we kind of know where that ended up. So I’m wondering why we should feel that this year is different. 
Vince Cubbage: It's a fair question. I guess I can't say it's a great question, but it's a fair question because I think you're pointing out that execution could have been better last year, and I candidly would agree with you. Look, since the time -- since this -- the time the business went public, management team has been simultaneously trying to execute this enormous opportunity ahead of them. And the past stall pace wasn't as consistent as we would hope it would be. What I would point you to is 2022 included a management team that had built the model from the bottom up, had laid out the quarterly progression, met it in the first quarter, beat it in the second quarter and is optimistic towards the second half of the year. We also provided guidance, and you heard Stephen Palosky's words around that guidance that we think those ranges are still viable. There's a lot of work to be done. I would kind of overlay that with the first question around capital availability. In order to get into that range, we need the capital to be on the terms and kind of the pace and timing that we expect it to be. But if you piece all that together, you can see that we're confident of the road ahead.
Matt Somerville: Got it.
Operator: Our next question is from Mark Delaney with Goldman Sachs.
Mark Delaney: The first one was on the updated CapEx guidance. I believe you lowered it to $110 million to $130 million, if I heard correctly, I think it was perhaps $140 million to $160 million previously, if I have my numbers right, but you kept the number of stations the same. So maybe you can talk about where you're finding the savings on CapEx even though the plan on new additions is unchanged? 
Vince Cubbage: Mark, thanks for the question. It's a good one. The financial planning team reports to Drew. And Drew, do you want to take that? Sure. Happy to. Thanks for the question, Mark. I think there are a couple of factors that we look at in the CapEx guidance. One, we've got to look at market conditions and as was alluded to earlier in the call, certainly, the availability of power from the utilities puts a little bit of a different lens when we think about the mix of AC or Level 2 stations versus DC fast chargers. So some of the CapEx shift is going to be due to the balance or the shift in mix and or I shouldn't say shift, but prioritization of the mix between level 2 charger stations and our DC fast chargers. So that's the largest contributor to the change in CapEx. I think we're also starting to see some ability to garner better supply chain relationships, which are helping to improve our overall CapEx numbers. 
Mark Delaney: Okay, understood. That's helpful. The second one, just thinking of the cash use. I don't know if you can be helpful in terms of how to think about cash use in the second half of the year or even in 3Q? And any color on cash burn would be helpful. 
Vince Cubbage: Sure. I mean look, I think the -- what we've been focusing on, particularly since Vince joined the team and has helped sort of bring this team together, really, every dollar that we're spending, we're trying to put against 1 of 2 of our key goals. Every dollar is going towards a revenue-oriented goal and/or a stall in the ground or a station deployment goal. And so as we think about CapEx spend, and Steve Poloskey, alluded to this in his remarks as well, we're getting more efficient on the OpEx side, and we've got work to do, and part of that work is around how we allocate capital and deploy capital. And we want to make sure that we continue to do that in a way that we are generating revenue and focusing on installations in the most effective and efficient way as possible. So that's a lot of the work that we've been doing to make sure that we're deploying capital effectively. 
Mark Delaney: Okay, understood. One more for me, if I could, please. Just any updates on the timing for a CEO search and CFO search that you can share?
Vince Cubbage: Yes. That sounds like one for me. It's Vince. The -- so let's level set. We had said on an earlier call that the Board had hired Heidrick & Straits an international executive search firm. The search is ongoing. We are speaking with a number of high-caliber individuals, and we're not going to settle for anyone who isn't exceptional because the rest of the management team that I showed in my last slide, if you look at -- if you spend a little bit of time looking at the background of that team, it's an exceptional team, and we do think Volta clearly has the winning strategy. The company obviously has a couple of issues directly in front of it. The capital raise is one and the cost structure is the other where -- this team is very focused on it. It's -- the team that's in place is a direct result of the need for change around those issues. And we are making changes that we expect will become more evident in future quarters and future results. That is hand-in-hand with finding the right CEO. The right CEO is someone that's going to seize the opportunity, continue the strategy, coalesce this team and execute; and it's an interesting role. We have a number of people that would like it, but the best people want to see some of these issues resolved before we get more serious with them. And the Board wants to make sure that we have a company that matches the caliber of the person that we want to have -- the other thing I would say to add on that is this board is very, very active and very supportive across the board of this business, whether it's energy or technology or the media side or programmatic ads, leadership, our chair is exceptionally involved and is very granularly involved in goal setting and cost cutting and operations, Cathyavits [ph] terrific Bonita is an expert on all of the media side and is helping make connections on the programmatic side. This Board is involved and supportive and is not going to hand this company to someone that has a different perspective of how to execute the opportunity that's so obviously right ahead. 
Mark Delaney: I'll turn it over.
Operator: Our next question is Craig Shere with Tuohy Brothers.
Craig Shere: So the second quarter certainly looks in line or better than expected relative to the outlook from the first quarter call. But the third quarter is a bit light relative to the progression that we shared before. And that kind of looks like it puts pressure on the fourth quarter to achieve the full year revenue outlook. Now I understand fourth quarter is seasonally strong for advertising. But is your charge for charging not really materially rolling out to the fourth quarter? And once it is rolled out, how broad-based is it? Or can we expect an ongoing improvement in electron revenue beyond fourth quarter? 
Vince Cubbage: Craig, great question. Thank you for it, and thank you for the time working with us on this. The business model, as you really well understand is dual. It has a media component to it, which we talked a little bit about the seasonality of that and the back-end build. And then it has the electricity, which is a lever that we're beginning to pull and those electrons sales will show up in revenue. I don't think that we have given guidance on what the forward charge per charge revenue will be. We're more indicating that kind of everybody else's business model is available to us when we flip a switch. Our business model of making money on the media side is not available to anyone that hasn't built the team or the technology or the MSA portfolio or the backlog or the installed base that we have. On the revenue side, the back-end weighting of the guidance that we're giving around media, really, that's a brand question. Brandt, how would you like to address that?
Brandt Hastings: Yes. No, I appreciate it. Thanks, Craig. We've talked a bit about this before and how our revenue business builds sequentially throughout the year, which I think is mainly driven by how advertising spend increases sequentially quarter-over-quarter throughout the year. So when I think about this, it really comes down to 3 key areas. I think, first, for Volta, more stalls in the ground means more impressions for our media sales team to monetize. I think that's underscored by the announcement that we just made with the Volta Media Network crossing that threshold of over 1 billion impressions a month that they're now bringing out to the marketplace. I think the second piece is that EDS seasonality throughout the year. Advertisers are simply spending more of their investments, particularly around the holiday period in the fourth quarter. And the third piece for me, and this is something that I've been very focused on is we're building a mature digital media business that is driving recurring revenue with advertisers. And the reason why we're doing it is because we are demonstrating favorable returns to these marketers in the form of advertising efficacy. When they're investing with Volta, it's because they like the return profile that they're seeing in terms of metrics back to their bottom line. And that's also driving our ability to grow our revenue as well. 
Craig Shere: While we're on the subject of the media, I was under the impression, and I forget the exact figure, but there's a certain number of screens that kind of nationwide. That's kind of a breaking point at which you kind of step more into the big leagues and get more dollars for every advertising campaign run. How close -- how real and how close are you to breaking into that -- I don't know what you call it the big leagues maybe next year.
Vince Cubbage: Yes. It's a good question, Greg. And we have talked about that before. And the number that we've used is kind of as the line in this 10,000 screen mark. And so that is certainly a number that we will continue to march towards and SURPASS. And I think if you look at kind of the numbers that we put in the DAC that we sent out, which today is, I believe, around just over 5,400 screens on our network layer on our guidance for full year with the idea that there's very close to 2:1 correlation between the STAL and media screens. We generally have 2 screens per saw. You have to see where we look to end up by the end of the year. But I think you think about that, coupled with the $1 billion impression mark per month on the media network. And I don't know, it's interesting. I was on the phone with the CMO just the other day, and she was telling me how her company is going through and reprioritizing all of their marketing spend for the back half of the year, really to focus on media companies that can deliver measurable results and sort of cutting the nice to have and prioritizing the must have. And this is what gets me most excited about where Volta now sits in the advertising ecosystem. It's this ability to demonstrate a return profile to marketers that they like. And I think you combine our scaling towards 10,000, the 1 billion impressions, which will continue to grow and this ability to prove out the efficacy of advertising is what we are in the big lease now and Volta; and so that’s something we’re really excited about. 
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing comments. 
Vince Cubbage: Thank you, Sherry. We appreciate that. And everyone, thank you for your time and all of the questions you've had. I've been really just genuinely impressed with the exceptional work being done across both his business. We have extremely dedicated employees and it's clear that there's tremendous opportunity ahead for this company. I'd like to really conclude by thanking all the employees that made this quarter what it was for their contributions to both the success for their steady leadership and work through this transitionary quarter and for really all of our customers for their commitment. We look forward to providing you future updates. We have a lot to update you on. And as we make progress, we'll be talking to you in the future. So thank you, everyone. 
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.